Operator: Ladies and gentlemen, thank you for standing by and welcome to the Walt Disney Company's Fiscal First Quarter 2020 Financial Results Conference Call. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mr. Lowell Singer, Senior Vice President of Investor Relations. Thank you. Please go ahead, sir.
Lowell Singer: Good afternoon and welcome to The Walt Disney Company's first quarter 2020 earnings call. Our press release was issued about 25 minutes ago and is available on our website at www.disney.com/investors. Today's call is also being webcast and the webcast and a transcript will also be available on our website. Joining me for today's call are, Bob Iger, Disney's Chairman and Chief Executive Officer; and Christine McCarthy, Senior Executive Vice President and Chief Financial Officer. Following comments from Bob and Christine, we will of course be happy to take your questions. So with that let me turn the call over to Bob to get started.
Robert Iger: Thanks Low, and good afternoon everyone. We've had a great quarter and a very productive start to the year, but before I talk about the quarter, let me begin with the events in Asia related to the Coronavirus. Certainly our hearts go out to all those affected by this devastating outbreak, including the thousands of people who work for us in the region. In line with numerous prevention efforts taking place across China, we've temporarily closed our parks in Shanghai and Hong Kong, and we will continue to closely monitor this public health crisis. Christine will have details about the developing financial impact in her comments. Turning to the quarter, since our last call, our studio released two more films that exceeded $1 billion each at the global Box Office. Star Wars: The Rise of Skywalker, which concluded the nine episode Skywalker saga; and Frozen 2 which became the highest-grossing animated movie of all time with more than $1.4 billion in global sales, surpassing the original Frozen, which held the record since 2014. The Rise of Skywalker and Frozen 2 along with Captain Marvel, Aladdin, The Lion King, Toy Story 4, and the biggest movie of all time, Avengers: Endgame contributed to a total global Box Office for the year for Disney of more than $11 billion, shattering the previous industry record of $7.6 billion set by us in 2016. Many of these films are already available exclusively on Disney+, and the remainder will soon join the service following their home entertainment window. On the parks side, we're thrilled by the overwhelming response to our newest attraction Star Wars: Rise of the Resistance, which opened in Orlando in early December, and in Anaheim just a few weeks ago. Our Imagineers and the Design Team at Lucasfilm did an absolutely phenomenal job, and it's one of the most immersive, ambitious, and technologically advanced attractions ever created for a Disney park, and it's elevating storytelling to exciting new levels. Not surprising, Rise of the Resistance has quickly become a fan favorite at both parks and Galaxy's Edge has been a great success at Disneyland and Walt Disney World. Of course, the high point of the quarter was the highly anticipated launch of our streaming service, Disney+. Thanks in large part to our incredible portfolio of great brands, the outstanding content from our creative engines and a robust technology platform, the launch of Disney+ has been enormously successful exceeding even our greatest expectations. As we reported previously, we had more than 10 million sign-ups for Disney+ by the end of day 1, and we ended the quarter with 26.5 million paid subscribers. Since then, consumers have continued to sign up for the service directly at disneyplus.com through Verizon, which offers a free year of Disney+ to many of its customers at no additional cost, as well as through other distributors including Apple, Google, LG, Microsoft, Samsung, Sony, and Roku. We recognize there's a lot of interest in this new business, and we wanted to give you some additional context. So, I'm pleased to say that as of Monday, we were at 28.6 million paid subscribers. Going forward, it's our intention to announce subs as of the end of the quarter that we're reporting on. One additional note on sign-ups for Disney+, although we will not provide specifics, is that we are pleased to report that both conversion from free to pay and churn rates were better than we expected. We believe the subscriber growth to-date and the overall reaction to Disney+ reflects a variety of factors that include the uniqueness of the service and excellent user interface, and the high quality of our brands and content. In fact, we are seeing the four-quadrant appeal of our brands reflected in our subscriber numbers as well. On the content side, consumers have enthusiastically embraced the exceptional offering of classic movies and shorts from our studio, including Moana and Frozen. Disney Channel series like Hannah Montana and The Suite Life of Zack & Cody, recent theatrical releases like The Lion King, which became available on the service on January 28. The Simpsons is also quite popular with all 30 previous seasons available. And our growing slate of original content is also of great interest to our subscribers, especially The Mandalorian which has quickly become a bonafide hit and a cultural phenomenon. Of course, I'd be remiss if I didn't mention a certain child in The Mandalorian, who has taken the world by storm. I do believe the sensational response to this new character says so much about Disney+ and our company's ability to connect with audiences. We know there is great anticipation for the substantial array of Baby Yoda consumer products hitting the market in the coming months. We'll continue to add high quality content as a service that includes Frozen 2, and Episode 9, The Rise of Skywalker. Many of you probably saw our Super Bowl spot featuring three original new Marvel series for Disney+. Loki, The Falcon and the Winter Soldier, which will premiere on the service in August, and WandaVision, which will debut in December. These same characters and actors from the Marvel cinematic universe along with events from these new shows will factor into future Marvel films as we integrate storytelling across these platforms, all under the Marvel Studio banner. We also have the highly anticipated return of The Mandalorian in October and multiple new series from Disney, Pixar, Marvel, Lucasfilm, and Nat Geo. So, there's a lot to look forward to. Although our volume will increase, we remain focused on providing quality content from our core franchises and brands, not just quantity as we continue to build our portfolio. And the creative community has taken notice as well, many have expressed interest in joining Disney+’s roster of extraordinary talent. The next big priority is launching Disney+ in numerous international markets, starting in Western Europe on March 24 when we will launch in the U.K. and Ireland, France, Germany, Spain, Italy, Switzerland, and Austria. Additional markets including Belgium, the Nordics, and Portugal will follow this summer. In December, we signed a deal with Canal+, the leading pay-TV provider in France. We're currently in talks with several other potential distribution partners throughout the region. We're also excited to announce that we will be launching Disney+ in India through our Hotstar service on March 29, at the beginning of the Indian Premier League Cricket season. We will be rebranding our existing Hotstar VIP and Premium subscription tiers to Disney+ Hotstar. We see this as a great opportunity to use the proven platform of Hotstar to launch the new Disney+ service in one of the most populous countries and fastest-growing economies in the world. Looking across our portfolio of Direct-to-Consumer businesses, we're also pleased with the growth of ESPN plus. We ended the quarter with 6.6 million paid subscribers, and as of Monday, we were at 7.6 million. We've been especially happy with a number of partnerships, particularly with the UFC and the recent McGregor Ceron fight brought in about a 1 million pay-per-view purchases and a 0.5 million new subscribers. We will continue to add content to the service on an opportunistic basis. At Hulu, we recently announced that we will be reorganizing the business to more closely integrat it into our Direct-to-Consumer segment in order to operate more efficiently and effectively as we look to expand our domestic consumer base, as well as our presence outside the U.S. With respect to subscriber numbers, we remain optimistic about the future of the service. Hulu ended the quarter with 30.4 million paid subs and as of Monday, the number was 30.7 million. During our last earnings call, we announced the launch of FX on Hulu, which will be available to all Hulu subscribers at no additional cost. Beginning next month, Hulu will be the exclusive streaming service for all new FX Original programming. FX on Hulu will also offer in-season streaming as well as back seasons for most current and library series. We view this as a fantastic opportunity to expose FX as exceptional content to a broader audience, while also making available to consumers in new ways. We believe there is tremendous appetite for our content and the goal of FX on Hulu is to expand our reach to include those viewers who are not linear pay TV subscribers, and that includes many of Hulu's young and highly engaged streaming audience. The addition of FX as programming is a step in the direction of continued increased investment in high quality programing for Hulu, which will be developed and produced by our existing creative engines. It's all been challenging for a company to pivot in a new strategic direction particularly when it involves navigating between established and emerging business models, but since we announced our intention to shift our strategy, we have made an extraordinary amount of progress. This included a strategic reorganization of our Company, creating a Direct-to-Consumer & International segment. We believe the new structure would better position our businesses for the future and now that we've completed the reorganization and launched Disney+, are more confident than ever in that decision. I am enormously proud of what we have accomplished in a relatively short period of time and believe we are now well positioned to not only withstand the disruptive forces of technology but thrive in today's increasingly dynamic media environment. And with that, I will turn the call over to Christine to talk more about our performance in the quarter, and then I'll be back to take your questions.
Christine McCarthy: Thanks Bob, and good afternoon everyone. Excluding certain items affecting comparability, earnings per share from continuing operations for the first quarter were $1.53. Fiscal 2020 is off to a good start, as evidenced by our first quarter results, and as Bob discussed, we are incredibly pleased with the launch of Disney+ and the positive consumer response we have received to-date. In terms of our fiscal first quarter results, our Studios creative momentum continues to deliver outstanding financial performance. Operating income was up significantly compared to Q1 last year, driven by growth and worldwide theatrical and higher TVs SVOD distribution results at our legacy film studio. The actual results reflect the performance of Frozen 2 and Star Wars: The Rise of SkyWalker in the quarter compared to theatrical releases last year, which included Ralph Breaks the Internet, Mary Poppins Returns and The Nutcracker. Higher legacy TV SVOD results were driven by content sales to Disney+, partially offset by a decrease in sales to third parties. The increases in our legacy theatrical and TV SVOD businesses were partially offset by a $50 million loss at the 21CF studio business, as operating income from TV SVOD distribution was more than offset by an operating loss at Worldwide Theatrical, and general and administrative costs. At Parks, Experiences and Products, operating income was up 9% in the quarter, driven by higher results at Consumer Products and at our domestic Parks and Resorts, partially offset by lower results at our international Parks and Resorts. Consumer Products operating income was up 25% due to growth in merchandise licensing as a result of strong revenue growth from sales of Frozen and Star Wars merchandise, both of which benefited from theatrical releases in the quarter. Revenue at domestic Parks and Experiences was up an impressive 10% in the quarter, driven by higher guest spending and to a lesser extent increases in attendance at our domestic Parks and Resorts. Operating income at domestic Parks and Experiences was up 6% as the flow through from strong revenue growth was dampened by operational expenses associated with Galaxy's Edge and significant labor expense growth due to higher wages as a result of collective bargaining agreements. Attendance at our domestic Parks was up 2% in the first quarter and per capita guest spending was up 10% on higher admissions, merchandise and food and beverage spending. Per room spending at our domestic hotels was up 4%, and occupancy was 92%. So far this quarter domestic resort reservations are pacing up 4% compared to this time last year, and book rates at our domestic hotels are currently pacing up 10%. At our International Operations, operating income was lower in Q1 as improved results at Shanghai Disney Resort were more than offset by a decline of about $80 million at Hong Kong Disneyland due to lower attendance and hotel occupancy. Hong Kong Disneyland results in the quarter are consistent with the outlook we communicated last quarter. However, the recent closure of our parks in both Shanghai and Hong Kong, due to the ongoing Corona virus situation will negatively impact second quarter and full year results. The current closure is taking place during the quarter in which we typically see strong attendance and occupancy levels due to the timing of the Chinese New Year holiday. The precise magnitude of the financial impact is highly dependent on the duration of the closures and how quickly we can resume normal operations. At Shanghai Disney Resort, we currently estimate the closure of the park could have an adverse impact to second quarter operating income of approximately $135 million, assuming the park is closed for two months during Q2. At Hong Kong Disneyland, we currently estimate the closure of the park could have an additional adverse impact to operating income of about $40 million for the second quarter. As I discussed last quarter, we were already seeing a significant decrease in visitation to Hong Kong Disneyland from China, and other parts of Asia. So in aggregate, we estimate these two factors could result in a decline in Hong Kong Disneyland's Operating income of about $145 million for the second quarter. Again, this assumes the resort is closed for two months. Turning to Media Networks, Operating income was up in the first quarter due to increases at both Cable and Broadcasting. Higher cable results reflect the consolidation of the 21CF cable businesses, partially offset by a decrease at ESPN. At ESPN, growth in affiliate revenue was more than offset by higher programming and production costs, primarily driven by contractual rate increases at NFL, college football and the launch of the ACC Network in addition to lower ad revenue. ESPN's domestic linear advertising revenue was down 4.5% in the first quarter due to lower average viewership primarily for NBA and college football regular-season games, which more than offset an increase in viewership from Monday night football. On note, that when you look at ad revenue across all ESPN domestic ad platforms, which include digital and addressable advertising revenue reported in our DTCI segment, ESPN's total domestic ad revenue in the first quarter was roughly comparable to the prior year. So far this quarter, ESPN's domestic linear cash ad sales are pacing up 2% compared to last year. At Broadcasting, higher results in the quarter were due to the consolidation of 21CF and a benefit from new accounting guidance which is explained further in our press release and 10-Q filings, partially offset by lower results from our legacy operations. Results at our legacy Broadcasting operations were lower in the quarter as higher affiliate revenue was more than offset by lower ad revenue, a difficult program sales comp at ABC Studios and higher network programming and production costs. Lower program sales at ABC Studios reflect the prior year sale of Marvel's The Punisher, during Q1 last year and no comparable sale in the first quarter this year. Total Broadcasting ad revenue was lower in the quarter, driven by lower political advertising at our owned stations and a decline at the ABC Network. Total Media Networks affiliate revenue was up 19% and reflects the consolidation of 21CF and growth at both cable and broadcasting. The increase in affiliate revenue was driven by 14 points of growth from the acquisition of 21CF and 7 points from higher rates, partially offset by a 2-point decline due to a decrease in subscribers which was aided by about a 2.5 point benefit from the launch of the ACC Network. Operating losses at our Direct-to-Consumer and International segment increased in the quarter driven by cost incurred to support the successful launch of Disney+, the consolidation of an operating loss at Hulu, and higher programing costs at ESPN Plus. These operating losses were partially offset by the consolidation of the 21CF international cable businesses. Results at our Direct-to-Consumer businesses had an adverse impact on the year-over-year change in segment operating income of $845 million, which was in line with the guidance we provided last quarter. We expect our Direct-to-Consumer & International segment to generate about $900 million in operating losses for the second quarter and we expect the continued investment in our DTC services, specifically Disney+, which will launch in a number of European markets late in the second quarter, and the consolidation of Hulu to drive an adverse impact on the year-over-year change in operating income of our DTC businesses of approximately $520 million. As Bob mentioned, Disney+ had 28.6 million paid subscribers as of yesterday, an increase of 2.1 million since the end of the first quarter. In the near-term, we expect subscriber growth to come primarily from outside the U.S., with the next meaningful phase of domestic subscriber growth likely to coincide with the release later this calendar year of highly anticipated original content, including episodic series from Marvel and Season 2 of The Mandalorian. Turning to the elimination segment, revenue and profit eliminations were significantly higher in Q1, driven primarily by the inter-segment content sales from the Studio and Media Networks to DTCI. I'll note that our 10-Q this quarter contains additional detail on the general structure and accounting treatment of the various types of inter-segment content transactions reflected in our segment results. Lastly, we continue to make progress on realizing the value of the 21CF acquisition. The businesses we acquired, excluding 21CF's stake in Hulu and net of inter-segment eliminations, contributed approximately $590 million in segment operating income in the first quarter. Consolidating Hulu's operating losses and netting out inter-segment eliminations, resulted in a positive impact total segment operating income of about $300 million. We estimate the acquisition of 21CF, and the impact of taking full operational control of Hulu had a total dilutive impact on our Q1 EPS before purchase accounting of $0.27 per share, and we estimate the acquisition of 21st Century Fox in the impact of taking full operational control of Hulu will have a dilutive impact on our Q2 earnings per share before purchase accounting of about $0.25 per share. We are still on track for the acquisition to be accretive to EPS before purchase accounting for fiscal 2021. I'll now turn the call over to Lowell, and we would be happy to (multiple speakers) take your questions.
Lowell Singer: Okay. Thanks, Christine. And operator, we are ready for the first question.
Operator: [Operator Instructions] Our first question comes from Michael Nathanson with MoffettNathanson. Your line is now open.
Michael Nathanson: Thanks, Bob. I have 2Q and Disney+. First one is stepping back a bit, what were the biggest surprises or learnings that you had post-launch. When you looked at what you had accomplished, and then after those learnings, how did you or what have you adjusted in terms of your launch plans or content spending plans after reviewing the first two months of this product?
Robert Iger: Well, I don't know if you call this a surprise, but certainly it's a learning because we didn't know until we launched. But we've been heartened by the fact that there has been basically consumption of a broad array of product across all of our brands. That is not just about original programming or not just about the Disney library, it's really about everything including original shorts and older shorts, and legacy Disney Channel shows and of course, the library led by musicals and recent theatrical releases and Mandalorian, but it has been very broad-based, and I mentioned earlier that about, it was, 65% of the people who watch Mandalorian, watch at least 10 other things on the service, so this was not about any one thing. 50% of people who use the service have watched movies as a -- for instance. So, with that in mind, we feel that validates the collection of those brands and a blend of product that includes obviously, the library or legacy TV and films of short-form and long-form, and then original programming. The trajectory in terms of our investment in original programming on the service is roughly the same as it would have been whereas it was before we launched. We haven't really changed that that much. Clearly, the original shows that we decide to invest and led by the Mandalorian have worked, and we knew when we launched that we were launching with a modest amount of original programming, and that it would build over time. So, as we look ahead, we're really comfortable with the volume that -- of the product that we are creating and don't really feel that there is much that we have to adjust to right now. We have just as a - for instance, we have a few Star Wars series in varying stages of production and development. We have the three Marvel series that were announced and I think there are seven other Marvel series that are in varying stages of development or pre-production, and there are a number of Disney originals. We have Disney original movies coming. Very pleased with them, by the way, and then we have a new one coming, Timmy Failure is a 100% on Rotten Tomatoes, for instance. So we've got a - I think a great blend and don't feel a real need to adjust, and I think the best thing about it all is that the decision that we made to go with quality and not just volume is working. So, the second part of the question?
Michael Nathanson: Okay, that was covered
Operator: Our next question comes from Jessica Reif Ehrlich with Bank of America Securities. Your line is now open.
Jessica Reif Ehrlich: One more question on Direct-to-Consumer and then NFL. On Hulu, could you - Bob, you said you're going to take it internationally, you've alluded to that before. How long will it take you to get some of these rights back around the globe, and can you give us any thoughts on timing because the bundle strategy is obviously working here. And then on NFL, can you give us an update on your thoughts on that in terms of - well if anything you can timing, but also placement of NFL on ABC versus ESPN, and ESPN Plus?
Robert Iger: We are working up a plan to take Hulu internationally. We actually have a lot of specifics around it, but we've decided that the priority needs to be Disney+. We are launching, as I mentioned on the call across multiple territories in Western Europe later in March, and then in India on March 29 and it's going to continue to roll out across the world going into 2021 including Latin America, and we feel that we need to concentrate on those launches in the marketing and the creation of product for those, and then come in with Hulu right after or soon after that. So, we don't have specifics, except we do plan to begin rolling Hulu out, I'd say probably in 2021 internationally that is after the Disney+ launch. On the NFL side, look, it's very early to speculate. I think the ratings for the NFL suggest that, while there's a lot of disruption and there is a fair amount of erosion and you see people basically watching programs from multiple new sources and creating more competition for the traditional linear networks. The live sports has held up really well, led of course by the NFL. So, our interest in the NFL remains very strong and there have been only preliminary discussions and nothing more, and it would be premature for me to give you any more detail.
Operator: Our next question comes from Ben Swinburne with Morgan Stanley. Your line is now open.
Ben Swinburne: Bob, there's a lot of discussion in the market about the relative popularity of Disney's brands and IP outside the U.S. versus inside the U.S., and obviously we're all going to now digest the results you just reported. But how do you think we should be thinking about the subscriber opportunity as you launch these new markets in the March quarter in Europe relative to what we've seen so far in the U.S., and what can you tell us about the India launch, and how you plan to price that and bundle it with Hotstar VIP? How big is Hotstar VIP? Can you just talk about the go-to-market in India since that's a market where you're going in with a really unique strategic position given the Star business?
Robert Iger: Well, first of all, those brands are global brands, each one of them, including Star Wars, which maybe what you're alluding to Ben. They have varying strengths in different markets, Disney is probably the strongest on a consistent basis across the world, but they all have raised brand affinity and brand interest in all of them, which I think is one of the things that is a strong selling point for us into markets. So, I don't really think that, well, we necessarily need to do much adjusting as it relates to the product that has been designed for the U.S. except to make sure, obviously, that the programs are dubbed in the local language properly and are high quality. And secondly, that we have enough local programming, either to meet local quotas or simply to address local cases. One of the interesting things by the way about Star Wars and The Mandalorian, because there has been some things written after The Rise of Skywalker, that the popularity of Star Wars in certain international markets where there's Star Wars and certainly in - and international markets has never caught on. One of the reasons for that is that there isn't a Star Wars legacy in many of these markets, China being a main one, where people didn't grow up on that franchise or that brand. So when they tuned into, or heard about the Skywalker legacy, there was too much that had already gone in the past that was not familiar to them and they didn't really want to get on board late. That's not true with Mandalorian, because Mandalorian is even though it's based on, obviously, certain Star Wars elements, characters in places, you don't have to know anything about the history of Star Wars in terms of an access point or in terms of your interest. So anyway, we feel great about the popularity of our brands. Interesting the Disney brand globally has never been more popular. The other thing I want to say is that the brand studies that we've seen or brand research that we've seen in the United States suggests that interest and affinity in the Disney Brand has actually risen nicely, thanks to Disney+ particularly among young people. I think a lot of that has to do with the relevance of the platform, the technology, the manner of presentation. I think it's a loud statement about what's going on in the world today in terms of consumer tastes, particularly young people, which is why the demographics of Hulu were substantially younger than the demographics on some of our peers in the linear networks, et cetera, et cetera. In India, we're going to launch bundled with Hotstar directly bundled meaning it's Disney+ Hotstar as a product. We're not giving specifics about price at this point, but expect that there'll be two primary products brought into India. One will be more premium in nature that will include the entire library, so with the original programming and the other one will be more basic that will have the library and not the original programming. Priced for the market and launched at a very peak period of time, so the IPL, the Cricket League. And so, we think it's an opportune moment, we take advantage of the presence of Star in the market and the millions of subscribers that they also have, we take advantage of the sports tie-in, and we use the interface and the technology that includes the billing that already exists to launch a service, we believe, under very, very optimal circumstances.
Operator: Our next question comes from Alexia Quadrani with JPMorgan. Your line is now open.
Alexia Quadrani: Just following up on your color or your commentary on Disney+. Is there any more you can share with us in terms of what the - where the subscribers came from meaning and sort of like what type of subscriber they are, meaning like how many maybe a year-long or multi-year subscriber deal versus month-to-month, and sort of how many sort of came in for use versus on wholesale partnerships like Verizon and such. I don't know how much color you can share there? And then my second question is just on the studio, where you've had just incredible success there and another record year,'19, I guess your conduct - your conviction of that success can continue, especially when you're taking account kind of pipeline now from the Fox Studios?
Robert Iger: First of all, regarding Disney+, and the fact that the ARPU by the end of the quarter was $5.56 on a $6.99 subscription suggests that while there were discounts in the market in the packaging that existed enabled consumers to buy in at lower prices. We did extremely well, basically with the Direct-to-Consumer Package, and ARPU that was higher and so the 26.5 million and subscribers came roughly 50% directly through Disneyplus.com, for instance, where not only weren't we revenue sharing with others, but a lot of those subscribers, or many of them may have bought a year-long service or even a three-year, many of them bought basically the month for the full - for the full price. About 20% of those subscribers came from Verizon, and the rest came from the variety of other services, that is stripping the app, and including the iTunes platform. So we were actually very pleased with the diversity of, basically, routes that people took to get to us and extremely pleased with the ARPU. Now also understand that the vast majority came from domestic because we only launched in a couple of territories, Australia, New Zealand, and the Netherlands and Canada with this, and so, these are mostly domestic subs. But, I think it's all very, very positive story in terms of the - the manner in which people bought this and as I said earlier, the ARPU. And the other thing that we noted that was that the bundle with ESPN and with Hulu was very helpful in terms of lowering churn rates. And as I said, in my remarks, both the conversion from free-to-pay, as well as the churn rates were much better than we expected they would be - much better than we had estimated they would be before we launched. And I think, again, that's the result of - that starts with the product and I think the end of - the user interface also got incredibly high marks in terms of the ease of use, the easy navigation, the quality of the product, the value of the brands and the price point which we can't ignore, a very accessible price point, priced purposely because of the brand and our desire to be as accessible as possible on a broad basis. Regarding the studio, look, a $11 billion plus Box Office year from the Disney studio alone is not something we're likely to repeat right away, but as we look ahead, we're extremely pleased with the long-term prospects for our studio and the slate. I could name a number of titles, but this year, for instance, we have to Pixar titles with Onward and Soul in the marketplace. We've got a couple of really strong Disney branded Jungle Cruise and Mulan. We have obviously Marvel with Black Widow, initial at first, and then Eternals at the rest of the - at the end of the year and you can imagine, a lot of development from all of those. On the Star Wars front, were it - as I had mentioned in previous calls, we're taking a bit of a hiatus in terms of theatrical release, we finished the nine-episode Skywalker Saga, and we're developing both television and features. The priority in the next few years is television with The Mandalorian Season 2 coming in October, and then more coming from The Mandalorian thereafter, including the possibility of infusing it with more characters and the possibility of taking those characters in their own direction in terms of series. And then, we have a prequel to Rogue One in an Obi Wan series, also in development. So the priority for Star Wars in the short-term is going to be, I'll call it television for Disney+, and then we will have more to say about development of theatrical soon after that. But 2020 is not going to be the same as 2019 for the studio. But as we still expect a very strong year, and given the franchises and the talent that we both work with, and have working for us, we are confident that the studio is going to continue to be a strong driver of operating income for the company, both on the movie front, but also as a great supplier of product both original and secondary market for Disney+ and for Hulu, by the way.
Operator: Our next question comes from John Hodulik with UBS. Your line is now open.
John Hodulik: Bob, couple of questions, follow-ups on the DTC business. First of all, on Disney+, the model definitely, it seems to be holding up, you talked about, ARPU churn, content spend, the target is for 60 million to 90 million subs, and 24 million in profitability, because of this, we're halfway to the goals, in the model, the metrics seem to be hitting. Can we expect the profitability to come in sooner than the 24 million number? And then, if we just focus on the U.S., I think you guys gave guidance for 20 million to 30 million subs in the U.S., and again, you're sort of at the high-end, or around the high-end of that guidance. What are you seeing in terms of the TAM, are you just - is the TAM bigger than you thought and could that potentially be the case in the rest of world or are you just - just penetrating the market - as we then thought?
Robert Iger: I think, John, you touched - when you touched on it related to the U.S. I was actually going to bring up the 60 million to 90 million included obviously two-thirds of that subs that we were going to get from outside the United States, where except for just a few markets we've not even launched yet. So, it's far too early for us after, basically, a quarter and a little bit more under our belt to change our guidance, having not launched in any of the big international markets yet. What we know about those markets, not in any way pour cold water on them, because we know that those brands are strong in the markets, and this product is already working. The interest in streaming, in general, in those markets, isn't as high as it has been in the United States. I'm talking about across the world. So we have probably more of a marketing effort and I'd say, more of a challenge to launch in those markets, not that those markets haven't been already seeded with streaming, we know Netflix has done extremely well Internationally. But we're just beginning there, and I think it's just premature for us to take our guidance up. What we do know, of course, is that we have reached a number in the United States that since you did the math that would suggest that we're at the number that we predicted we would be in year five, just after a very short period of time, and I don't know whether that is a statement about the total available market or the quality of the product or both, or the price. It is just the way I think a number of factors that I've touched upon, and I just - I'll go over them one more time. Those brands are extreme - not only are they high quality, It is a very unique product. I was asked earlier on CNBC about whether I felt threatened by competition, there's obviously more competition coming into the space, But there isn't any competition that is like ours, like our product, because of the investments that we've made in those franchises and the quality of the product that we've made over the years and we're continuing to make. So we're very differentiated, we're extremely well priced. And we created a service tech - from a technical basis and the user interface basis, that is really working. There's an elegance to it and an ease, and we feel great about it. So our - as we look ahead at that guidance, and I can't say that we won't change in at some point, but it's - we don't believe that it would be prudent for us to adjust it at this point, and we have a long way to go.
Operator: Our next question comes from Doug Mitchelson with Credit Suisse. Your line is now open.
Doug Mitchelson: I am going to keep going on Disney+ but, Bob, I think congratulations are - in order on the success of the service, so far. A couple of things, in terms of consumption patterns for the Disney+ service, is this a service households are using every day or they're using every week, and any sort of issues or thoughts around consumption levels after the initial sign-up period is - where people can then leave the service, a bunch of them starts to fade after that or did you find that it stayed relatively level? And I am interested, Bob, you talked a lot about in India, but interested about the launch in Europe broadly and contrasting it with the first series of markets. So is the content that is available on the service in the U.S., also, sort of the same content available in Europe, and any sort of differences or nuances in go-to-market, marketing and distribution efforts in any of those countries that we should be aware of as we try to gauge how successful Europe might be? Thank you.
Robert Iger: We measured - in terms of the - I'll call it engagement, we've measured recency, which is essentially how many people are - used it recently, are active users on a weekly basis, that's extremely high. We measure frequency, which is a number of times people stream per week since launch and we measure engagement, which is basically how many hours people have streamed on a weekly or basis per subscriber, and I don't think we should get into all those details right now, except to say that in all three cases, recency, the percentage of people that it - are weekly active users, very, very high. The same thing is true with frequency the number of average days that they actually use the service, and again this is something that we've seen over both - basically, the first quarter. I think these numbers probably relate to the first quarter and not necessarily since December 28, that's also very high and the engagement, or we were looking at multiple hours a week stream, per subscriber. I can give you that now, that's in the six hours to seven hours a week range, very, very high. Now Christmas was in there, time when a lot of families were off, that may have actually skewed that a little bit high, but again we're seeing consumption, I'll call it across the board, and in sum, it is quite interesting to us. Pixar has done extremely well, as a, for instance, including their shorts, musicals are doing very, very well. Obviously, great interest in some of the big titles that have recently come on the service. Toy Story 4 just came on. I think, Rise of Skywalker later in the year. Lion King came on, Avengers, I mentioned Endgame. It's kind of, I guess, and without, in anyway, sounding like we're bragging, it validates the concept of putting those brands together and collecting library. As we look to the rest of the world, there really isn't anything to cite in terms of encumbrances that would be an issue. We're in relatively good shape there. I'd say that we have some work to do in terms of local product, because there are quotas in certain markets that we have to meet. But the universal appeal of - of this product is - is pretty strong. You do have to factor in that, in some markets, there's lower broadband penetration. And so you don't have the total available - the total available market is not as high as it is in other markets. Netherlands was very high. That's why we decided the launch there. South Korea is very high. But there are other markets, obviously, India being one, that you have lower broadband. But huge opportunities - huge opportunities for us, Internationally, and that's where that Disney name and that family nature of the product, I think, will resonate extremely well.
Operator: Our next question comes from Todd Juenger with Sanford Bernstein. Your line is now open.
Todd Juenger: One quick one on Hulu, as far as I could and then, I'd love to talk about the Parks for little change of break here. So just on Hulu - on the Hulu SVOD ARPU, that $13-plus number, struck - stuck out to us, it's - it's even higher than the non-advertising Hulu - SVOD list price. So just wondering if you could share what's going on with advertising ARPU on the Hulu SVOD, it must be a big number. And anything you could share there would be helpful to understand. And then on the Parks, a couple of really minor ones, and then a bigger one. Christine, if you could remind us, for the U.S. domestic Parks, what percent of attendance comes from international visitation, and particularly from Asia, and if you're thinking about that at all, when you think about the near-term effects of the virus and the travel curtailments there? Longer term, Bob, I hope you'll accept this question, I'm not - just wondering how you think about the growth function for parks. It's a question we get from investors all the time it's super important. We'd love if you just share your thoughts, because I think what investors look at is so much of revenue and income growth has come from increased spend per guest in the form of either pricing or merchandise and food volumes. The question we wrestle with is gee how long can that keep going, right? Is there some point at which either your consumer gets priced out or - just competition sets in or that sort of thing and [indiscernible] sets in. So without asking for formal guidance, I just loved - is there still more opportunity on the yield side or how long can you push that, are there other ways the parks can grow over time? Thanks.
Lowell Singer: Okay thanks, Todd.
Robert Iger: I think we go first because we want to do is Hulu SVOD ARPU?
Christine McCarthy: Hulu SVOD ARPU is very strong. The ad-supported, the product is priced at $5.99 and - but the ad-supported part of the equation, it makes the ARPU come out even higher than the ad free. Most of the subscribers subscribe to the ad-supported. So that's a good balance of the ARPUs when you stack them up next to each other. Let me take the domestic park question on international visitation. We have typically run in the 18% to 22% range for guests outside of the U.S. We're at the low-end of that range, maybe a tick below right now because some of the South American markets, because of the disruption in those economies have had lower visitation. The two I would cite, would be - that won't be a surprise to anyone, would be Brazil and Argentina. In general, the parks do not have a significant amount of visitation from Asia. When you look at Walt Disney World, no Asian market even factors into the top five, and the top one being the UK, which I think everyone knows that. And then we have Brazil, Canada, Mexico and Argentina, that is for the East Coast, Walt Disney World. And then when you look at Disneyland, Canada is a very strong market for us, no surprise, just given proximity to the West Coast markets of Vancouver. And then, we also have Mexico, Australia, and the only market that even breaks into the top five would be Japan and it's actually a very low single-digit number for Disneyland. And so far, there has been no evidence that there is any impact on the intent to visit, or people fulfilling reservations or commitments from Coronavirus.
Robert Iger: And regarding other growth possibilities for the parks, it's really going to be a blend. We continue to invest capital to build out new attractions, new hotels, new restaurants. We've announced many different projects. Obviously, we just opened Rise of the Resistance and that's done extremely well, not just in terms of attendance but per capita spending has been quite high. We have a variety of different Marvel projects underway. The Avengers project in California, and a number of Marvel related things in Florida, including a Guardians of the Galaxy E-ticket attraction. So, we're going to continue to build out against the Company's most popular, or using the most popular franchises. And as I mentioned, build out hotels as well. We just opened one Riviera Resort we're opening one in Florida. We have a Star Wars themed hotel coming, a lot of activity there. We will look for international opportunities as well. They still exist, and obviously, the virus has slowed things down a bit, but we expect that when that passes that we will start looking expansively in other territories. And of course, lastly there is a yield story to tell and that's been exceptional that is a combination of things. But clearly, far more sophisticated, more thoughtful pricing strategy has helped a lot. Taking advantage of peak periods and pricing leverage but also making the parks more accessible in non-peak periods for others at substantially more accessible prices.
Operator: Our next question comes from Steven Cahall with Wells Fargo. Your line is now open.
Steven Cahall: Just two quick ones but maybe first on Disney+. It seems like you priced this exactly right, given the market response. I would think you could kind of make life harder on some of your more expensive streaming competition like Netflix or HBO by keeping the price low for as long as you can and keeping that engagement with customers. So just kind of curious how you're thinking about the price of Disney+ long-term does it go up over time or do you sort of keep it as it is? And then, Christine, just wondering if you could maybe give us a little more color on how to think about the studio for the year, there is just a lot of moving parts there. I know theatrical is impossible to predict, but then you've also got the synergy with the Fox Studios and the transfer pricing. So, how do we kind of think about the income production of the studio this year given all those different pieces? Thanks.
Robert Iger: Yes Steve, we haven't had a conversation about price since we launched except that we felt that our pricing strategy has worked. We really are not focused right now on price at all. We believed all along that we would have an opportunity to address pricing as we added more content, really original content, and the price-value relationship went up to the consumer, but it's not a priority of ours right now. We're still as we’re very new with this. So, I think it would be premature for us to start talking about, and don't expect anything in the near term, very near term from a price increase perspective. Christine, you want to take the question about the studio?
Christine McCarthy: Yes let me take that. As Bob already mentioned our studio, our legacy Disney studio had nothing short of a truly phenomenal year six movies, over $1 billion in the global box office. That is an incredibly hard - seven movies over sorry about that. seven movies over $1 billion, that's an incredibly hard comp on a year-over-year. So, we will still - we still believe that our studio will be very successful this year. And we have confidence in their content resonating with consumers on a global basis. Bob already mentioned some of the big movies that we have coming out, and we feel really good about those. As it relates to transfer pricing of content, the studio definitely will benefit from the content sales to DTCI. The Pay 1 windows and we had quite a few movies come out in fiscal 2019, that will make it into the Pay 1 window in fiscal 2020, and that will also have a positive impact on the studio.
Operator: And our final question comes from David Miller with Imperial Capital. Your line is now open.
David Miller: Bob, as you know, I've covered you guys for a long time, and I've covered the theaters for a long time. And I've probably heard you say maybe a dozen times over the last four years that you are 100% committed to the theatrical window, going forward, despite the launch of Disney+. The problem is that, and I would never accuse you of being disingenuous, you know that but the problem is that the market doesn't really believe that given 52-week lows on excuse me AMC and Cinemark and to some extent Marcus. So on this call, would you be willing to kind of recommit to the theatrical window or I should say, what would you have to say going forward about your overall commitment to the theatrical window given your market leadership in that regard? Thanks so much.
Robert Iger: The theatrical window is working for this company and we have no plans to adjust it for our business. Your comment about how those companies are faring on the market, I think, maybe is a reflection of how the other movie companies are positioning their films and their business we're not the only movie company. We are the biggest Box Office, but we're not the only movie company and I suspect that it's not due to us or either a lack of conviction on our part or any suspicion that we might not be - that we might not be telling the truth.
David Miller: Right.
Robert Iger: But we're not - it's working for us, and we have no plans in the foreseeable future to change it that requires.
Lowell Singer: Thank you, David, and thanks everyone for joining us today. Note that a reconciliation of non-GAAP measures that we referred to on this call to equivalent GAAP measures can be found on our Investor Relations website. In our remarks we provided estimates of the performance of certain 21CF assets in periods of the prior year. These estimates are based on an analysis of these records, but are nonetheless unaudited estimates and are not precise measures of historical results before the acquisition. Let me also remind you, certain statements on this call, including financial estimates may constitute forward-looking statements under the Securities Laws. We make these statements on the basis of our views and assumptions regarding future events and business performance at the time we make them, and we do not undertake any obligation to update these statements. Forward-looking statements are subject to a number of - risks and uncertainties, and actual results may differ materially from the results expressed or implied in light of a variety of factors, including factors contained in our Annual Report on Form 10-K, quarterly reports on Form 10-Q and in our other filings with the Securities and Exchange Commission. Thanks again for joining us. Have a good rest of the day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.